Operator: Ladies and gentlemen, thank you for standing by and welcome to the SunTrust first quarter conference call. At this time, all lines are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, today's conference call is being recorded. I would now line to turn the conference over to Ankur Vyas, Director of Investor Relations. Please go ahead.
Ankur Vyas: Thank you Cynthia. Good morning and welcome to SunTrust first quarter 2017 earnings conference call. Thank you for joining us. In addition to today's press release, we have also provided a presentation that covers the topics we plan to address during the call. The press release, presentation and detailed financial schedules can be accessed at investors.suntrust.com. With me today, among other members of our executive management team are Bill Rogers, our Chairman and Chief Executive Officer and Aleem Gillani, our Chief Financial Officer. Before we get started, I need to remind you that our comments today may include forward-looking statements. These statements are subject to risks and uncertainty and actual results could differ materially. We list the factors that might cause actual results to differ materially in our SEC filings which are available on our website. During the call, we will discuss non-GAAP financial measures when talking about the company's performance. You can find the reconciliation of these measures to GAAP financial measures in our press release and on our website, investors.suntrust.com. Finally, SunTrust is not responsible for and does not edit, nor guarantee the accuracy of our earnings teleconference transcripts provided by third-parties. The only authorized live and archived webcasts are located on our website. With that, I will turn the call over to Bill.
Bill Rogers: Thanks Ankur and good morning everybody. I will begin with a brief overview of the quarter and then I am going to turn it over to Aleem for additional details including our results at the business segment level. I will conclude with some perspectives on how this quarter's performance fits into our long-term strategy and investment thesis and how this strategy is enhanced by our recent organizational changes. We reported $0.91 of our earnings per share this quarter, which after excluding $0.04 of tax-related benefits was up 4% compared to the prior year. At a high level, the financial performance we delivered this quarter is a direct result of investing in ourselves to strengthen our client franchise and create a business mix that delivers consistent results in different macroeconomic environments. This has been and will continue to be a key driver of our success. More specifically, this quarter we had yet another record for investment banking income. Our investments in SunTrust Robinson Humphrey and the broader wholesale banking platform continued to deliver results and it's clear that our teammates are becoming increasingly effective at working together to deliver the breadth of our capabilities to new and existing clients. Additionally, mortgage servicing, a business we grew deliberately over the past several years, was up $33 million sequentially, which more than offset the decline in mortgage production. Further, our recent acquisition of Pillar provided us approximately $20 million of incremental revenue complementing our traditional CRE lending business. And lastly, our ongoing investments in LightStream, credit card and other consumer lending initiatives are delivering profitable growth. These growth initiatives coupled with benefits from an improved interest rate environment and our focus on optimizing the balance sheet drove a 3% sequential and a 7% year-over-year increase in revenue. As anticipated, expenses increased sequentially, driven primarily by a seasonal uptick in employee benefits related cost. In addition, we are making further investments in technology throughout the company to improve the client experience and drive future efficiency. As a result, our tangible efficiency ratio increased from the fourth quarter to 64.6% but was slightly better than our own expectations and we fully expect to achieve the efficiency ratio target we set for ourselves this year. Overall, asset quality remained strong, stable and well within our guidance. Energy related losses declined further, which drove the reduction in the net charge-offs and non-performing loans. We continue to maintain underwriting discipline across the company in addition to ensuring a consistent focus on portfolio diversity, both of which will result in further capital efficiency from a strong starting point of 9.5% Common Tier 1 ratio on a fully phased-in basis. So with that as a quick overview, let me turn it over to Aleem who is going to provide some more details on this quarter's performance.
Aleem Gillani: Thanks Bill and good morning everybody and thank you for joining us this morning. I will start on slide four and cover our net interest margin, which increased nine basis points as a result of the steeper yield curve, which positively impacted the securities portfolio and mortgage yields and the increase in contractual short-term rates. The typical first quarter day count effect also positively contributed three basis points to the sequential improvement in margin. Net interest income increased 2% sequentially and 6% year-over-year as a result of higher rate balance sheet growth and our continued focus on optimizing loan mix. Looking to the second quarter, we expect the net interest margin to increase by a further one to two basis points. This is lower than the first quarter increase as the benefits from lower premium amortization expense and day counts will not repeat. We will continue to manage through a moderately asset sensitive balance sheet while being cognizant of opportunities to add duration if the yield curve steepens. Moving on the slide five. You will see that non-interest income increased 4% sequentially and 8% year-over-year. Investment banking had another record quarter and was up $45 million sequentially and $69 million year-over-year as our wholesale banking teammates did an outstanding job in helping clients capitalize upon strong market conditions. Growth was broad based across the entire CIB platform, though particularly strong in syndicated finance and M&A. As Bill mentioned earlier, the consistent growth of our CIB business is a reflection of both the investments we have been making for many years and the one team approach that wholesale delivering to our clients. Mortgage related income increased by $8 million sequentially as the anticipated declines in production income were more than offset by a $33 million increase in servicing income, which benefited from lower decay expense and recent portfolio acquisitions. As you saw this quarter, our strategic growth of the servicing portfolio, which is up 16% over the last two years, has diversified our revenue mix and resulted in a more balanced mortgage business. Lastly, I note that we have introduced a new line item in the income statement for commercial real estate related income, which is comprised of the fee income from Pillar & Cohen Financial, SunTrust Community Capital and Structured Real Estate, the latter two of which were previously recorded in other non-interest income. Pillar's integration into SunTrust is going very well and the driver of the sequential decline is simply due to the normal variability of SunTrust Community Capital where activity is typically higher in the fourth quarter. Let's take a look at expenses on slide six. Non-interest expense increased $68 million this quarter, driven entirely by a $90 million increase in personnel expense as a result of the typical seasonal increases in FICA and 401k costs in addition to the acquisition of Pillar. We also recorded $19 million of costs related to ongoing efficiency initiatives in other non-interest expense, which is about $10 million higher than normal. These increases were partially offset by declines in most other expense categories particularly markets Compared to the prior year, our expense base grew 11% as a result of four primary factors. Our improved business and stock price performance, investments we continue to make in talent and technology, higher FDIC premiums and higher net occupancy costs as a result of lower amortized gains from prior sale leaseback transactions. As a reminder, both FDIC premium expense and occupancy costs stepped up in the third quarter of 2016 and have been generally stable since then. Separately, while our higher stock price did result in elevated incentive costs in the first quarter compared to a year ago, it also resulted in a tax benefit. The benefit is the amount by which the tax deductions for stock-based compensation exceeded the book deduction. As you can imagine, RSUs that invested in Q1 had a large amount of appreciation over the book expense due to the significant increase in our stock price over the last six months. Previously, this benefit would have been recorded directly to equity, but new accounting standards require these adjustments to be recorded in the provision for income taxes. All else equal, I expect this quarter's expenses to be the high watermark for the year. For the remainder of 2017, the expense base will decline as a result of lower employee benefits costs in addition to our ongoing efficiency initiatives. Moving to slide seven where you see the tangible efficiency ratio for the quarter was 64.6% which is up relative to the fourth quarter given normal seasonal patterns in our business and as Bill noted is actually slightly better than our internal expectations. Given this combined with our positive revenue momentum and the ongoing efficiency initiatives we have underway, we remain on track to achieve our goals of having a tangible efficiency ratio of between 61% and 62% for this year and sub-60% by 2019. Moving on to slide eight. Our asset quality metrics improved further this quarter evidenced by the six basis point decline in net charge-offs and four basis point decline in non-performing loans and as anticipated, the ALLL ratio was relatively stable. Overall, we continue to expect the net charge-off ratio to remain within a range of 30 to 40 basis points for the full year and for provision expense to approximate net charge-offs, although there will always be some quarterly variability. Let's take a look at the balance sheet on slide nine. Average loans increased 1% sequentially, primarily due to growth in C&I and consumer. Period end loans were flat as declines in home equity and C&I were offset by the continued growth in consumer lending. On a year-over-year basis, average performing loans grew $5.2 billion or 4% with growth across most categories. In particular, our targeted investments in LightStream, credit card and other consumer lending initiatives are driving solid loan growth and also improving our return profile as the weighted average yield of our consumer portfolio is obviously higher than our commercial portfolio. Bigger picture, our clients are optimistic as evidenced by the results of SunTrust's recent Business Pulse Survey where 75% of our clients feel their own outlook is strong and many cite tax reform, infrastructure spending and reduced regulatory burden as catalysts for economic growth and their momentum. As clarity on these fronts develops, we believe our clients will be ready to invest and we are extremely well positioned to meet their needs, given the investments we have made in our business combined with our presence in the higher growth Southeast and Mid-Atlantic markets. Turning to deposits on slide 10. Average client deposits were up 1% sequentially and 6% year-over-year, with broad-based growth across most products and businesses. Our successful deposit growth strategy is the result of our commitment to meeting more of our clients' deposit and payment needs, our investments in technology platforms and ultimately our teammates in both the consumer and wholesale banking segments. Deposit betas remain low, which is a reflection of the relatively low interest rate environment and our strong retail deposit mix. Over time, deposit betas will normalize though we will continue to keep our consistent focus on maximizing the value proposition for our clients outside of rate pay. Slide 11 provides an update on our capital position. Our estimated Basel III Common Equity Tier 1 ratio on a fully phased-in basis was 9.5%, up about 10 basis points from the prior quarter, even after we successfully returned some of our excess capital to our owners in the form of our normal $240 million quarterly buyback combined in Q1 with an incremental $174 million share repurchase. We submitted our 2017 capital plan earlier this month and look forward to sharing our results with you in late June. At a high level, our strong capital position, particularly in the context of our risk profile combined with additional capital stack optimization should allow us to continue to increase payouts to our owners. Moving to the segment overviews, let's begin with consumer banking and private wealth management on slide 12 where we are seeing solid revenue momentum. This has been largely driven by net interest income, which was up 2% sequentially and 7% year-over-year as a result of strong loan and deposit growth and further balance sheet optimization. We continue to make good progress in our consumer lending businesses as the direct result of investments to improve our capabilities and enhance the client experience. Consumer loan balances excluding home equity are up 16% year-over-year, which is meaningful in both the context of the company's overall growth trajectory and our return profile. Strong deposit growth continues to be another key contributor to CPWM's revenue momentum with average balances up 2% sequentially and 6% year-over-year. Our ability to grow deposits, while reducing the size of our branch network, which is down 6% year-over-year is a testament to both the strength of our franchise and our clients' continued evolution toward a digitally centered banking experience. We are aware of the importance of having a differentiated and integrated client experience across traditional and digital channels and have consequently made significant investments in each of these areas. In fact, this quarter, we introduced a new and improved mobile banking app and enhanced our online banking platform in order to increase its connectivity to our mortgage offering. In addition, we introduced a digital conversation guide for our branch teammates to help them better track and meet client needs. Non-interest income declined 4% sequentially as a result of seasonal declines in service charges and card fees. Compared to the prior year, non-interest income was down 2% due entirely to the posting order changes implemented in the fourth quarter of 2016. In wealth management, we continue to make a strategic shift from more of a transaction oriented business to providing management solutions for our clients. This has had a negative impact on recent retail investment income growth trends, but provides for better long-term growth and stability for our clients and our business. Consequently, wealth management related income was stable, both sequentially and year-over-year as growth in AUM was offset by the implications of this shift. Expenses in CPWM increased 8% compared to the prior year, largely as a result of the investments we have been making in our digital and consumer lending capabilities, higher FDIC and occupancy costs and increased costs and charges related to branch closures. At a high level, we are pleased with the momentum across CPWM. Consumer lending is producing consistently strong growth. Deposits continue to grow meaningfully. Private wealth management is demonstrating better momentum. And our investments in an improved client experience and more effective branch network will further strengthen our franchise. As you see on slide 13, wholesale banking delivered record revenue, in part due to strong capital markets conditions but also reflective of the continued strategic momentum we are having with our clients. Revenues were up 6% sequentially and 16% year-over-year primarily due to investment banking's record performance. Growth in investment banking was broad based across most product and client segments, a great indicator that our teammates across the platform are gaining further traction and expanding and deepening client relationships and meeting the capital markets needs of all wholesale banking clients. More specifically, M&A, a business which takes a long time to develop and has been a key area of investment for us, had a record quarter. Another proof point that our clients increasingly view us as a trusted strategic advisor. Syndicated finance also had a record quarter. While strong market conditions were a key driver, we also saw continued growth in our commercial and CRE client segments, which contributed to roughly a quarter of a sequential increase. Total lead left relationships are up 9% year-over-year and our average fee per transaction continues to increase. Both of these are direct reflections of our success in strengthening client relationships. Net interest income was also a key contributor to the strong revenue growth, up 2% sequentially and 9% year-over-year as a result of improved loan yields and continued deposit growth. Non-interest expense was up 17% compared to the prior year as a result of higher compensation tied to strong revenue growth and our higher stock price, ongoing investments in technology and the acquisition of Pillar. Pillar's financial contribution in the first quarter was very much in line with our expectations with approximately $20 million of revenue and efficiency ratio in the 80s and an ROA that was accretive to the rest of the company. Pillar, combined with our recent introduction of a longer-term financing product continues to enhance the capabilities of our CRE business. Overall, our value proposition in the wholesale banking business is clear. We deliver a full suite of product capabilities and industry expertise with a one team approach to middle market and mid-corporate clients. This value proposition continues to resonate with our clients and the momentum across the wholesale business remains strong. Moving the slide 14. We benefited from our diverse revenue mix within the mortgage segment this quarter as the anticipated decline in production income was offset by higher servicing income. Production income was down sequentially and year-over-year as a result of lower refinance activity, though purchase activity remains strong with applications up 26% sequentially and 17% year-over-year. Servicing income increased $33 million sequentially, driven by lower decay expense and a larger servicing portfolio. Net income was up $4 million sequentially, driven by higher servicing income. Compared to the prior year, net income was down $21 million as a result of lower revenue and a larger reserve release last year. To conclude, let me remind you that we previously announced our strategic decision to integrate our mortgage business with the broader consumer segment and thus mortgage financials will be incorporated into a consolidated consumer segments slide within the July earnings presentation. We will continue to report residential mortgage production income and servicing income as components of non-interest income in the consolidated financials. So with that, let me turn it over back to Bill for some concluding remarks.
Bill Rogers: Okay. Thanks Aleem. So to conclude, I want to point to slide 15 which highlights how this quarter's performance aligned with our overall investment thesis. So first, we have made targeted investments in growing our client businesses and diversifying our revenue mix over the last several years. These investments coupled with the improving interest rate environment helped drive strong 7% year-over-year revenue growth. A little more specifically our investments in consumer lending helped offset lower growth in other areas while also enhancing returns, consumer private wealth and wholesale delivered strong 6% and 7% year-over-year deposit growth respectively as a result of our focus on meeting more clients' deposit and payments needs and our 10-year plus investments in talent and capabilities across SunTrust Robinson Humphrey continue to lead to deeper client relationships and significant revenue growth. In addition, we have made and continue to make meaningful investments in technology to modernize our infrastructure and deliver differentiated experiences which embody our purpose, meet evolving client needs and position us for growth. In the first quarter specifically, we enhanced our consumer digital capabilities, added small business banking to our new wholesale loan origination platform, upgraded our treasury management mobile capabilities and began to conduct test of robotic process automation across mortgage and wholesale lending. While these investments have the potential to create further efficiencies, they are first and foremost about delivering improved client experience with strong executional excellence. Going forward, our opportunity set is significant and we will make further investments in enhancing the client experience. As Aleem noted earlier, effective April 3, we integrated our mortgage segment with consumer banking and private wealth management to create a new consumer segment under Mark Chancy's leadership. Mark and the team already have significant momentum on which to build and we expect to create a more consistent integrated and improved experience for our clients across all consumer products and services, somewhat akin to the integrated ecosystem Mark and his leadership teams developed in our wholesale banking business. Hugh Cummins will succeed Mark as the leader for wholesale, both most recently led the commercial and business banking line of business and previously led SunTrust Robinson Humphrey from 2008 to 2013. He has been a key contributor to the momentum that SunTrust has established in wholesale and I have no doubt that he and his team will not miss a beat in delivering the distinct value proposition they have spent over a decade in building. Second, we have demonstrated consistent efficiency improvements and have plans to accomplish even more. Tom Freeman is now the Efficiency & Strategic Partnerships Executive allowing us to provide more executive focus on large scale efficiency opportunities in addition to evaluating further FinTech alliances and growth opportunities. Tom's focus here gives more confidence in our ability to achieve both our short-term and long-term efficiency objectives. Lastly, our capital position remains strong with Common Equity Tier 1 ratio estimated to be 9.5%. This is even more notable when juxtaposed against our risk profile where SunTrust demonstrates amongst the lowest levels of capital erosion in severely adverse economic scenarios relative to peer banks. This strong risk-adjusted capital position gave us confidence to repurchase a total of $414 million of common shares in the first quarter in addition to submitting a capital plan that would result in further increased payouts and financial confidence to you, our owners. So before we conclude, I would be remiss not to mention that SunTrust Park, the new home of the Atlanta Braves opened last weekend. This is the start of a 25-year partnership and we are already thrilled with the brand exposure it offers, both regionally and nationally. But this is much more than a name in a ball park. This investment allows our bank to reach more people and fulfill our purpose of lighting the way to financial wellbeing through programs that we will activate as well as SunTrust Onsite Center called The onUp Experience. There we will engage fans to learn more about gaining financial confidence with fun and interactive baseball activities while also strengthen our brand as a purpose driven client-first company. So with that, I will now turn it back over to Ankur and we will begin the Q&A portion.
Ankur Vyas: Cynthia, we are now ready to begin the Q&A portion of the call. As we do that, I would like to ask all participants to please limit yourselves to one primary question and only one follow-up in order that we can accommodate as many of you as possible.
Operator: Thank you. And our first question will come from the line of Ryan Nash with Goldman Sachs. Your line is open.
Ryan Nash: Hi. Good morning guys.
Bill Rogers: Good morning Ryan.
Ryan Nash: Bill, maybe I will just start with expenses. You noted that they are going to decline from this quarter. So I just want to make sure I got the guidance right. Will they decline each subsequent quarter? And then I guess related to that, I think the presentation noted that you are going to be closing another 3% of branches this quarter. Should we expect to see similar repositioning costs in the second quarter? And is that baked into your expense guidance?
Bill Rogers: Yes. Ryan, first let me say and you know, as Aleem said, we sort of start with thinking about efficiency ratio on a year-over-year basis versus a quarter-to-quarter basis. So while we were up in the first quarter and overall, some of that element was due to expenses supporting our revenue growth and then some was episodic and idiosyncratic to FDIC posting order, stock price appreciation, Pillar, a lot of things that Aleem's already referred to as well as our core tenet to continue to invest in our strategic platform. But as Aleem said, what we said is as it relates to this quarter, that's the high watermark for both dollars and percent for this year, I mean bar anything that we can't anticipate. And whether it's a quarter-to-quarter, we will have some fluctuations. Some of that will be dependent upon revenue. I don't anticipate a lot more on the branch side. We have sort of done the, as you noted, we have got the 3%. We took most of the cost related to that in the first quarter. I don't anticipate an additional charge related to branch closures and the additional plan that we have. And so factoring all of that in, including the rate hikes, we are ahead of where we thought we were. So if we look at our own planning, right now although the number seems higher, we are ahead of where we thought we were and our confidence in getting to that 61% to 62% is very strong.
Ryan Nash: Got it. And then maybe if I can ask one to Aleem. Aleem, maybe if you could just talk about what's built into the net interest margin in terms of further rate hikes? I think you had said last quarter, June and December. So how should we think about the margin for the remainder of 2017 if the forward curve proves to be correct?
Aleem Gillani: All right. Yes. We had originally been thinking that rate increases for 2017 would be due in December given the March increase. We think that's a little bit of a pull forward and maybe June and December now looks something like March and September. So that will help a little bit on a full-year basis. As we said for Q2, we do expect we will get another one or two basis points in NIM in addition to the 9% that we delivered in Q1. And if I try to look sort of full year overall, we then participated one more anticipated rate hike later this year. You know we are normally conservative in the way we think about rate hikes, but we are including that one in. If I think about the full year NIM, what that's going to look like, right now we are thinking that will kind of average probably something like 3.10% or so full year.
Ryan Nash: Got it. Thanks for taking my question.
Operator: Thank you. Our next question comes from the line of John McDonald with Bernstein. Your line is open
John McDonald: Hi. Good morning. Aleem, just a follow-up on the NIM comments there. Could you just remind us, you mentioned deposit betas remain low, what exactly are you seeing in terms of deposit betas on the retail and commercial? And what kind of beta is baked into your rate sensitivity disclosures when you look ahead?
Aleem Gillani: What we incorporate in our modeling, when you take a look at our asset sensitivity that you see in the release what we normally incorporate in our modeling there is kind of a full through the cycle beta so that long-term investors get a good sense of what that's going to look like over the long term. And what we are thinking there pull through the cycle is about a 50 or so beta full company full cycle. Obviously, we have been able to hold the line on liability costs so far and provide our clients with a value proposition that they see from us that's not just based on rate. The differentiation between business clients and consumer clients is apparent. Business clients, as you can imagine, with large dollars to deposit are normally more sensitive on betas that are a little bit higher. As I look forward to the rest of the year, it wouldn't surprise me if we saw overall betas for the company in that kind of 25 or so range for the remainder of this year and climbing through 18 to 19 If we get something that looks like the forward curve and if we get sort of measured pace of rate increases from the Fed. All of this is dependent on timing of rate hikes, the competitive environment, obviously and to some extent the steepness of the curve.
John McDonald: Okay. Great. And as a follow-up, just on the loan growth side. You posted some good C&I growth in a tough quarter for the industry. What are you seeing in terms of the C&I loan demand dynamics? And where does SunTrust see opportunities to grow loans this year, even if the industry trends remain sluggish?
Bill Rogers: Yes. I will take that. I think the good news is that it's highly diversified. So I can't point to one area and say this was a particular area that accounted for the high percentage of the growth. It's really related to all the investments we have made and the strategies that we have put in place and I think directly correlated to what you see on the fee based side because that's also evidence of the advice that we are giving clients. And I think that results in stronger asset growth. As you know, we don't manage to loan outstandings as a benchmark. We look at production. We look at paydowns, utilization and pipelines and there's some ups and downs related to all that, but all of that put together keeps us being fairly optimistic about where we can go.
Aleem Gillani: Yes. John, as I said in my comments, the SunTrust Business Pulse Survey that we did with our business clients came back with very positive results with many of our clients, 75% feeling really positive about their business. And just yesterday, we received the results of our CRE survey where we surveyed 200 CEOs of CRE clients and that was also very positive with many of them thinking that given the message that they are hearing from DC and then expectations that the administration will be able to deliver on some of those promises, that their growth prospects in 2017, 2018 and 2019 look very good.
Bill Rogers: All that being said, we have to reflect on, there is still a bit of a wait and see out there and I don't think that's illogical whether it's tax or healthcare regulation reform. And you saw the market react pretty quickly to some comments related to tax reform. So I think there's still a little bit of wait and see out there and we will look to the next quarters as it relates to a potential inflection point.
John McDonald: Okay. Thanks guys.
Operator: Thank you. Our next question will come from the line of Matt O'Connor with Deutsche Bank. Your line is open
Matt O'Connor: Good morning.
Bill Rogers: Hi Matt.
Aleem Gillani: Hi Matt.
Matt O'Connor: I was hoping to drill down on the expenses a little bit. I think you said on an absolute basis it will decline from here through the rest of the year and just wanted to get a little more color in terms of the drivers of that? And then specifically, it seems like the cost might have been a little inflated within the consumer segment this quarter, not only the branch cost that you called out, but maybe some other stuff as well. So just trying to get a little more clarity on the cost overall and then specifically on the consumer side of things.
Aleem Gillani: Well, Matt, the Q1 is typically the high watermark for us anyway. So the primary reason for that in Q1 is employee benefits cost, FICA and 401k. And the majority of the decline therefore from Q1 is actually going to be that bump up in benefits cost going away. Having said that, as you pointed out, there will be other costs that I think will be removed over the course of the year. We have several efficiency initiatives that are underway. As Bill said, the effect of branch closure cost has primarily been taken early. They are still going to be a couple million here and there over the course of the year but nothing as significant as we saw in the first quarter. And some of our other efficiency initiatives are in the space of third-party management vendor costs. We have got some work going on in the area of telecommunications costs. So we expect that as those initiatives come to fruition over the course of the year that a lot of those costs will disappear.
Matt O'Connor: Okay. And then just any comment on full year expenses? I know you have given us this efficiency ratio, but as you think on an absolute basis, cost decline from here? Any sense on what they might look like on a full year basis?
Bill Rogers: For full-year basis, we are very focused on the efficiency of the company. And we are happy to be able to note five straight years of improved efficiency at SunTrust. And looking forward for the remainder of 2017, I fully expect that at the end of this year we will have a sixth straight year of efficiency improvement.
Matt O'Connor: Okay. All right. It's very clear. Thank you.
Operator: Thank you. Our next question comes from the line of Geoffrey Elliott with Autonomous Research. Your line is helping.
Geoffrey Elliott: Good morning. Thank you for taking the question.
Bill Rogers: Good morning Geoff.
Geoffrey Elliott: Good morning. The continued growth in indirect, I am guessing, driven by auto. And kind of curious there, is there an opportunity opening up as some of the other banks pull back?
Aleem Gillani: I think if you are looking at year-over-year growth, Geoff, it's a little bit deceiving because of the base from last year. You will recall that what we have been doing with indirect over the last several years is when we see opportunities to manage our overall asset base, we have been a regular seller or securitizer of non-core or low ROA indirect auto loans. And in 3Q last year, we securitized $1 billion. So after that decline in 3Q, if you are looking at year-over-year numbers, naturally you will see growth as a result of that sale. But having said that, when we take a look at our indirect auto right now at the end of Q1, I am pleased actually that our overall weighted average FICO for indirect auto loans is slightly up and our overall LTV on indirect auto loans are slightly down. So if I look at the quality of our indirect auto book, I think right now it's actually pretty good.
Bill Rogers: Yes. And maybe just to embellish that is, we are not leaning in on indirect. There are places where we are very specifically leaning in on consumer lending and commercial and other areas. And what we are doing with indirect is making sure that supports our overall businesses. And we play in that prime to superprime area as a Aleem noted. So we see it as just a good continuation of our strategy.
Geoffrey Elliott: Thanks. And then just following up on auto. I know within LightStream, you have got a pretty significant contribution from auto, most of it unsecured. Can you give us a bit more detail on the nature of the products and the size of the opportunity there?
Bill Rogers: The nature of the products in LightStream, yes. They are made up of a number of different types of loans.
Geoffrey Elliott: Unsecured auto, I guess is what I wanted to focus on.
Bill Rogers: It is. Yes. So we have got unsecured auto there. We also have secured auto and other types of products that we have got on LightStream are unsecured and secured non-auto loans and then we also have debt consolidation loans. So across the board, looking at the composition, I don't have in my head exactly how much is auto versus non-auto, but the total amount of the LightStream portfolio now, Geoff, is $3.3 billion at the end of the first quarter.
Aleem Gillani: Yes. The unsecured for auto is superprime part of the portfolio. Average FICO in LightStream is 770 something. It's a high prime, superprime product, particularly in that unsecured area. And overall portfolio yield north of five.
Geoffrey Elliott: Thank you.
Operator: Thank you. Our next question comes from the line of Ken Usdin with Jefferies. Your line is open.
Ken Usdin: Thanks. Good morning.
Bill Rogers: Good morning, Ken.
Ken Usdin: I was wondering if you could talk a little bit about credit which, as you mentioned, is in your ranges and you are not expecting to have to build a release much from here. But there was a credit out there that was pretty fairly public. I know you don't talk about singular credits out there, but just in the context of, did you see any lumpiness still in C&I, because I am noticing just a big decline in NPA still? And there just doesn't seem to be anything filling the bucket behind. So could you first just talk about any lumpiness that we are starting to see here on the C&I side, if at all?
Bill Rogers: Well, in C&I, obviously that book is lumpy by nature and so there is going to be some lumpiness as individual credits deteriorate over the course of the year. As you said, Ken, we don't reference clients by name, but you know us. We are pretty conservative and if we see credit deterioration in a name, we are going to react. So you can expect that if there is an action that we needed to have been taken in the first quarter, we would have taken it.
Ken Usdin: Understood. Well put. And then second, my follow-up just on, also on the consumer side, you have always pointed out that there is this nice lag between the residential delinquency and charge-offs on those debt side of the book. And so can you just talk a little bit about how much more extra benefit you might still have ahead on the resi side? And then just anything to note on the consumer side, just given some of the newer growth and seasoning there? Thanks guys.
Aleem Gillani: Yes. I think most of the benefit in resi, Ken, has come through. Over the last several years, the quality of both our home equity and mortgage books has been pristine and we have enjoyed the advantage of that type of really high quality origination. But most of the decline in reserves that had been built in previous years has been taken. If your question is leading to where we expect the allowance to go overall, I would think that the allowance ratio for the company would be generally pretty stable within a few basis points of where we are now. And you have seen that stability from us in the last few quarters. I would expect that to continue for the remainder of the year.
Ken Usdin: Okay. Thanks Aleem.
Operator: Thank you. Our next question comes from the line of Gerard Cassidy with RBC. Your line is open.
Gerard Cassidy: Thank you. Good morning guys.
Bill Rogers: Good morning George.
Gerard Cassidy: I think it was back in 2014, you guys started a program for the capital markets part of your company to go after customers that were not CIB customers. Could you tell us, in this quarter what percentage of the business is coming from non-CIB? And how is that trending since you implemented that plan?
Aleem Gillani: I will tell you that we provide capital market services to all of our wholesale clients, including those in our commercial banking area and those in our CRE area. So we look at our clients kind of holistically and we approach them as one team with all of the products that they are going to need, whether those are loans or capital market services. If you look at our results this quarter in the context of over an industry loan growth that's not growing, you see that our capital markets business did particularly well and that's because we were able to provide both corporate and commercial clients with the capital market services they need. We don't really break down in detail externally how much of that comes from CRE and commercial clients, but if you want to think about at a high level, 15% to 20% of capital markets revenues come from commercial and CRE as well as private wealth clients in the context of the total.
Bill Rogers: Yes. I would say that overall strategy is a key part of our growth dynamic going forward. Quarter-to-quarter, it's going to fluctuate. So this quarter, a little down in commercial, but it was up in CRE, as an example. So just quarter-to-quarter it might fluctuate and year-over-year it's up substantially and at the numbers that Aleem was talking about.
Gerard Cassidy: Great. And then a bigger picture question. We all know the industry has changed dramatically in the last 20 years, more capital, higher efficiency ratios for yourselves as well as everybody else, which obviously means lower profitability and the ROE number of course is still below 10%, ROTC obviously is over 11% this quarter. The ROA though, it's interesting you guys are around 93 basis points. Where do you think that goes to the ROA now with the new, obviously you have got the LCR ratio which hurts the profitability, what's a normal ROA once we get into a normal interest rate environment maybe over the next two or three years for you guys?
Bill Rogers: Well, if you think back, George, you started your question with kind of where we are long term normalize before the crisis and long-term normalize before the crisis for SunTrust, it was uncommon for us at all to show ROA that were in the 110. And as I look forward from here, that kind of a number would be the kind of number that we would be targeting for the company given the business mix and our ability to deliver services to our client base today.
Gerard Cassidy: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Rose with Raymond James. Your line is open.
Michael Rose: Hi. Good morning. Maybe we could just start on CCAR and payout ratio. You guys have been around 30% dividend payout ratio. Is there any comfort at this point to move that higher? And then should we think about capital return approaching 100% move forward? Thanks.
Aleem Gillani: Good morning Michael. Thank you for the question. Yes. I think as we look at the guidance that the regulators have provided to the industry, one of the items of that they have noted for main street banks like us, is that the focus in CCAR this year will move to move a more quantitative approach and some of the constraints that had been placed on the industry have been moved toward those banks that require more tailored regulation and away from banks that have a more vanilla business model like us. So given the removal of some of those constraints, we would hope to be able to, on an overall basis, respond to the needs of our owners and change overall payouts and payout mix towards something that we think is more in the context of our long run payout ratios and mix and what they are asking for.
Michael Rose: Great. That's great color. And then just switching to credit. A lot of talk this quarter on strip centers. Can you just remind us of your exposure? And may be if you are still comfortable running into that asset class or if you have pulled back? Thanks.
Bill Rogers: Yes. Maybe I will take that and just do it in sort of the overall category of retail and staying thematically on inter and intra diversity which has sort of been a core component of our focus for the last five years. So it started sort of a big number, got a little over $5 billion, 3.5% of total loans that sort of fit into that category. Commercial real estate would be about $900 million of that and the mall component of that would be very, very small. REITs would be about $700 million of that. Again, the mall component of that smaller and the preponderance of all that investment grade. And then the all other sort of in about $3.6 billion is really diversified both by geography and by product type. So it's everything, grocery, gas station, drug stores, home and furniture. But again very, very broad based.
Michael Rose: Great, Thanks for taking my questions.
Bill Rogers: Sure.
Operator: Thank you. Our next question comes from the line of John Pancari with Evercore ISI. Your line is open.
John Pancari: Good morning.
Bill Rogers: Good morning John.
John Pancari: On the expense side, the operating losses, I know that it was higher in the quarter. Could you just clarify again what drove that? And then separately on the efficiency ratio, I know you gave guidance for FY 2017 and you gave the longer-term guidance of below 60% by 2019. How do you think about 2018? If you could give us a little bit of color about how the efficiency ratio could look for the year for 2018? Thanks.
Aleem Gillani: All right. Well, I will talk about our operating losses first. Yes, it’s a few million dollars higher this quarter. That actually relates to legal accrual that we took this quarter on a specific instance. So that's the context of the few million dollars. Efficiency ratio, John, what we try to do is we try to improve it every year. So in 2017, our intent is to get the somewhere between 61% and 62%. For 2019, our intent is to get below 60%. There are several people who just draw a straight line between those two. That's not our guidance but that's what several people do. And in the context of, we try to improve every year. We will try to improve in 2018 from 2017.
John Pancari: Okay. All right. Thanks. And then separately on the loan growth front, can just give us a little bit more detail on the decline on the end-of-period basis that you saw in overall commercial? And is that just some of the reluctance in the wait and see attitude that’s showing up there? And how soon could we see a nice pick up there on C&I? And then did you actually quantify your utilization rate and what the actual pipeline did for the quarter?
Aleem Gillani: Let me try to hit some of those. I think, yes, the answer is, it's a little bit of a latency, but it's also a little bit of the capital markets. So those are related. So there was opportunity for clients to take advantage of capital markets and it was a good environment, good rate environment, good appetite and the good news is we benefit on that side of the equation, from that standpoint. As it relates to the utilization, it's just slightly up. So I think slightly is a really important thing. Utilization over the last five years has been pretty flat. So any quarter can be slightly up or slightly down. I think it's tricky to get too much of a read into that. Pipelines, if we look at sort of the early stage pipelines, they are really good. There's a lot of conversations. There's proactive desire to want to do some things. People have got from drawing board. If we look at later stage pipelines, they fall under that latency category. They are slightly down. So if we put all that into balance, I think it's consistent with everything we said.
Ankur Vyas: Cynthia, we can go to the next question.
Operator: Thank you. And that will be from the line of Erika Najarian with Bank of America. Your line is open.
Erika Najarian: Hi. Good morning.
Bill Rogers: Good morning Erika.
Aleem Gillani: Hi Erika.
Erika Najarian: I just wondered, one question, just wanted to zoom out on the landscape for a bit. There seems to be bipartisan support to amend the official SIFI buffer to $250 billion and I wonder if with SunTrust's $204 billion assets, if that does get passed through Congress, does that change how you are thinking about inorganic growth versus organic growth opportunities?
Aleem Gillani: Well, I like to think about this is an efficient frontier and you sort of find out where you are on the efficient frontier. Today, we think we are in a great place on the efficient frontier. We are big enough to absorb all the costs that we need to do from a regulatory standpoint and also make the investments we need to make in our business. What we have talked about as sort of tailored regulation in contrast, so while there is some dialog around official levels, there is also a lot of dialog around risk based establishment of capital levels that wouldn't be dependent upon necessarily an asset level. So the net of all that, we will be in the athletic position to move to wherever the ball goes. And if $250 billion is a hard line, then we will look at our strategy as we are several years away from that. So we have got time and capacity to build to do the things that we need to do and we will adjust and define our strategies based on where they land. But right now, I think we are really in the perfect place. We have got a risk-based model that's a lower risk-based model and that we are at an asset size that allows us to really compete highly effectively and under any sort of threshold, I think we will be sort of under the thresholds versus over the thresholds.
Erika Najarian: Got it. Thank you.
Ankur Vyas: Cynthia, we have time for one more question.
Operator: Thank you. And that will come from the line of Stephen Scouten with Sandler O'Neill. Your line is open.
Stephen Scouten: Hi guys. Thanks a lot. So I just wanted to follow up on some questions about credit. Any other areas that you are seeing any early signs of concern? I know we have seen some healthcare credits maybe show some weakness this quarter, especially on the syndicated side of things. Any changes that you guys are making to concentrations in certain areas?
Bill Rogers: Steve, we are actually very pleased with what we are seeing in the credit landscape right now. If we look across all of our businesses, our exposure to the clients that we would like to have, is just about perfect in the context of client mix, loan mix. And looking across, we are not seeing areas of weakness across anyone of the businesses in which we focus that would worry us to any material level at all. Now having said that, I might have just jinxed us. So I am knocking on the table right now. But right now, talking with our risk folks and our frontline folks, they are feeling really good about what they are hearing from clients and what they are seeing in the industry.
Aleem Gillani: But it also just undermines when times are good is when you plan the most and staying really committed to the diversity of our business model is critical. So if we do see one pocket whether it's one credit or one geography or one issue, we want to be in a position that, that doesn't impact our long-term objectives and opportunities.
Stephen Scouten: Okay. That's fantastic. And then just one follow-up on the loan growth. Do you guys still think you can grow kind of at the pace of one to two times GDP in the longer term? And maybe do we need a specific catalyst here in the near term to see something that more approximate that in the next couple quarters?
Aleem Gillani: Well, our ability to grow, I think at north of GDP is well proven. We have got the infrastructure. We have got the product base. We have got the teammate talent. We have got the client mix to be able to continue to do that. And I would fully expect that we will continue to be able to do that. Now of course that's not in any given quarter, there's going to be quarterly volatility. But as I look out sort of year-over-year or through the cycle, yes, I fully expect that we are going to be able to grow north of GDP even north of GDP in our footprint and our footprint has shown good ability to grow north of national GDP.
Stephen Scouten: Fantastic. Thank so much guys. I appreciate it.
Aleem Gillani: Thank you.
Ankur Vyas: This concludes our call. Thanks to everyone for joining us today. If you have any further questions, please feel free to contact the Investor Relations department. Thank you.
Operator: Thank you. Gentlemen, that does conclude your conference call for today. Thank you for your participation and for using AT&T Executive TeleConference Service. You may now disconnect.